Operator: Good morning and welcome to the CEVA Inc. Second Quarter 2015 Earnings Conference Call. All participants will be in a listen-only mode. [Operator Instructions] After today's presentation, there will be an opportunity to ask questions. [Operator Instructions] Please note this event is being recorded. I would now like to turn the conference over to Richard Kingston, Vice President, Investor Relations. Please go ahead.
Richard Kingston: Thank you and good morning everyone. Welcome to CEVA's second quarter 2015 earnings conference call. I'm joined today by Gideon Wertheizer, Chief Executive Officer of CEVA and Yaniv Arieli, Chief Financial Officer of CEVA. Gideon will cover the business aspects and the highlights on the quarter and general qualitative data. Yaniv will then cover the financial results for the second quarter and provide guidance for the third quarter of 2015. I will start with the forward-looking statements. Today's conference call contains forward-looking statements that involve risks and uncertainties, as well as assumptions that if they materialize or prove incorrect could cause the results of CEVA to differ materially from those expressed or implied by such forward-looking statements and assumptions. These forward-looking statements include our financial guidance for the third quarter of 2015, optimism about our licensing pipeline and royalty revenue growth including optimism about LTE ramp up and the M2M markets. Increase in the blended based on AFPs on a year-over-year basis, expansion of smartphones in emerging markets, exploration of strategic investments and continuation of our buyback program in 2015. The risks, uncertainties and assumptions include the ability of the CEVA DSP cores to continue to be strong growth drivers for us. Recovery of the baseband markets, our success in penetrating new markets specifically non-baseband markets and maintaining our market position in existing markets. The ability of new products incorporating our technologies to achieve market acceptance, the speed and extent of the expansion of the 3G and LTE networks and the IoT space, the effect of intense industry competition and consolidation, global chip market trends and general market conditions and other risks relating to our business, including but not limited to those that are described from time-to-time in our SEC filings. CEVA assumes no obligation to update any forward-looking statements or information, which speak as of their respective dates. With that said, I would now like to turn the call over to Gideon.
Gideon Wertheizer: Thank you Richard and welcome everyone. We delivered solid financial results for the second quarter primarily due to continued strength in licensing and progress in LTE shipment by our customers. Our business is now performing in high gear. This is being driven by strong customer buy-in of our high value IP portfolio along with favorable industry dynamics that is expanding our market share in the smartphone space across all its peers. Our guidance for the upcoming quarter will reflect this momentum. Total revenue for the third quarter was $13.4 million up 45% on a year-over-year basis. Licensing and other revenue was approximately $7.7 million up 76% year-over-year. Royalty revenue was approximately $5.7 million in line with our estimation and up 17% on a year-over-year basis. This is the second consecutive quarter of the year-over-year royalty growth. During the second quarter we closed 14 new licensing deals a new record high. Eight of the deals were for CEVA DSP cores and platforms, and six were for our connectivity product. Out of the 14 deals signed six of them were with first time customers and 13 of the all were non-handset baseband applications. Target end products include smartphones, tablets, machine-to-machine equipment, DSLR cameras and various IoT devices and wearables. Geographically, one of the deals signed was in the U.S., three in Europe and then in APAC including Japan. We can take the next few minutes to elaborate on this quarter highlight and the underlying data that fuel these trends. In licensing the second quarter licensing activities trended extremely well in particular in regards to our LTE centric DSPs where we signed four agreements across different end products. One of the agreements was with the customer targeting the mid and low tier of LTE advanced smartphone. The second agreement was for LTE connected tablet which are gaining popularity in emerging market. White box manufacturers in China are actively expanding their market share at the expense of Apple and Samsung and use 3G and LTE connectivity as a cost differentiator. The third deal we signed is for small cell LTE device which is the smaller phone factor of the conventional macro base stations. Small cell complements the existing macro base station networks in density populated area providing improved service yet are cheaper to install and maintain and consume less power. The fourth agreement was with the leading players in the connectivity semiconductor industry who is strategically expanding into the LTE based machine to machine space. We are currently experiencing a growing interest in the end-to-end space on the back of LTE-M have provision of LTE advanced which specifically aggressive machine type communication used product such as connected car, vending machine, point of sale system smart meter and many other industrial products. According to GSMA the end-to-end market is expected to continue its rapid growth in the coming years. There were 243 million cellular end-to-end connections as of 2014 and it is expected to grow at CAGR of 26% between 2014 and 2020. Another noteworthy agreement executed during the quarter is associated with a Tier-I DSLR OEM who will build its next generation advanced camera on our vision and audio DSPs. It is an important achievement for CEVA as DSLR cameras are at the forefront of photography technology and as such set the direction for next generation smartphone and other camera related products. On the royalty front our progress in LTE is continuing to pick up pace. LTE shipments in the quarter went up 52% on a sequential basis in fact our Q1 shipment surpassed 11 million units which is more LTE chipsets than our customer shipped in all of 2014. We also received royalty reports for initial ramp up shipments of Samsung Galaxy S6 Edge and Xiaomi Redmi 2A. Shipment of 3G smartphone went up 6% sequentially as adoption of low cost smartphone by first time user in emerging market continue to progress. From similar perspective the smartphone market opportunity is underexploited ITC estimates that over 8.5 billion smartphones will be sold from 2015 through 2019. According to GSMA intelligence 2G technology still accounts for 58% in mobile connections. This large install base is a prime candidate for upgrade to 3G and LTE smartphones. So in summary our licensing business continued to perform extremely well as we advanced our expansion beyond handset baseband space to additional market and new customers. On royalties we believe that the main growth trajectories that our business follows which are first time smartphone users and LTE expansion into new markets and usage model will accelerate and continue to support our business model. With that said let me handover the call to Yaniv for financial and guidance.
Yaniv Arieli: Thank you, Gideon. I’ll start by reviewing the results of our operations for the second quarter 2015. Revenue for the second quarter of $13.4 million closer to the higher range of our guidance, primarily due to strong licensing revenue and growing LTE shipment, the revenue breakdown is as follows. Licensing related revenue was $7.7 million reflecting 57% of our total revenue, 76% higher as compared to the second quarter of 2014. Royalty revenue was $5.7 reflecting 43% of total revenue up 17% on a year-over-year basis the second consecutive quarter of year-over-year growth. Quarterly gross margin was 88% on U.S GAAP basis and 89% on non-GAAP basis. The non-GAAP quarterly gross margin excludes approximately $42,000 of equity based compensation expense. Total operating expenses for the quarter were $11.8 million at the lower range of our guidance total OpEx for the second quarter included aggregate equity based compensation expense of approximately 0.8 million and $0.3 million for the amortization of acquired intangibles and cost associated with the acquisition of RiveraWaves. Our total operating expenses for the second quarter excluding equity based compensation expenses were $10.7 million at the low to mid range of our guidance. Due to allocation of some R&D expenses to cost of goods for special design service licensing deal, our overall combined non-GAAP cost of goods and OpEx expenses were similar to the two prior quarters. Non-GAAP net income for the quarter is $0.2 million and diluted net income per share was $0.01. Non-GAAP net income and diluted EPS for the second quarter of 2015 was $1.3 million and $0.06 respectively. Non-GAAP net income and diluted earnings per share for the second quarter excluded equity based compensation expenses of $0.8 million and the impact of amortization of the acquired intangibles and costs net of taxes of $0.3 million associated with the acquisition of RiveraWaves. Other related data, shipped units by CEVA licensees in the first quarter of 2015 were 206 million, down 12% sequentially but up 4% from the first quarter shipments of 2014. Of the 206 million units reported 167 million units or approximately 81% were for handset baseband chips, reflecting higher than normal seasonal decrease of 17% from 201 million units of baseband chips reported and shipped in the prior quarter and a decrease of 10% from 186 million units shipped a year ago. The significant decrease was associated with lower 2G related shipments. In the non-handset baseband volume shipments continued to increase both sequentially and year-over-year a 20% and 227% respectively mainly due to the ramp up of Bluetooth shipments by a number of customers. Our quarterly handset baseband royalty ASP was up 15% sequentially and 25% year-over-year due to favorable mix of LTE product. As of the end of June 28 licensees were shipping products incorporating our technologies, same as the prior quarter. This reflects one new handset baseband customer which has started to ship offset by an older customer the discontinued and old product line post an M&A transaction. And for the balance sheet items, as of the end of June, cash, cash equivalent balances, marketable securities and bank deposits were $126 million. In the second quarter, we paid approximately $1 million as part of the prior commitment in connection with acquisition of RiveraWaves. In addition, we have future pending payments of approximately $3 million in connection with acquisition. Our DSOs for the second quarter were 64 days, better than the previous quarter, but still slightly higher than the 50 to 60 days of historical value. Regarding our share buyback program, we purchased approximately 176,000 shares during the second quarter at an average price of $19.5 per share for approximately $3.4 million. We plan to continue our stock buyback program in 2015 and look for other strategic investments that we can reinforce our market leadership in DSP and connectivity IP. In the last quarter we generated about $3 million from operating cash flow, our depreciation was $0.3 million and fixed asset expense of 0.4 million. At the end of June our headcount was 254 people of which 200 are engineers. Now for the guidance. As Gideon stated, we experienced strong demand for licensing across our product portfolio. Our pipeline for the third quarter in robust and as such we expect to continue the momentum as demonstrated in the last six quarters. On the royalty front, initial review of the royalty report we received thus far affirmed our annual growth projection. For the third quarter, we expect an increase of 40% in royalty revenue on a year-over-year basis. Our guidance for the third quarter, revenue for the third quarter is expected to be in the range of $15 million to $16 million. Gross margin is expected to be approximately 91% of GAAP and 92% of non-GAAP basis excluding equity based compensation expense. U.S. operating expenses are expected to be in the range of $11.9 million to $12.9 million. Of our anticipated OpEx for the third quarter, $1.3 million is expected to be attributed to equity based compensation expenses and 0.3 million to amortization of acquire intangible and related expense. Our non-GAAP OpEx is expected to be in the range of $10.3 million to $11.3 million. Net interest income is expected to be approximately $200,000, non-GAAP tax rate for the third quarter of approximately 12% and share count for the third quarter on a non-GAAP basis approximately 21.2 million shares. Our U.S. GAAP diluted net income per share is expected to be approximately $0.07 to $0.09 and our non-GAAP EPS forecasted excluding aggregated $1.3 million for equity based compensation and $0.3 million for amortization related cost is expected to be in the range of $0.14 to $0.16 per share. Emily you could now open the Q&A session.
Operator: Thank you. We will now begin the question-and-answer session. [Operator Instructions] Our first question today is from Joseph Wolf of Barclays. Please go ahead.
Joseph Wolf: A question about the move towards the mix within the handset market, the decline in feature phones is pretty steep, but obviously the transition to better ASP units is progressing. I'm wondering if 70 million units in the LTE market is too low or too high for us to be thinking about for the year given that you've done about 18 million year to date.
Gideon Wertheizer: We are expecting to more than double our LTE shipments for the next quarter from 11 million we’re probably going to somehow exceed the 25 million units. So we are only left with Q4 it's hard to get, but we believe there for sure will be above a 60 million LTE phones for this year and needless to remind ourselves that this is significantly higher than the 11 million encountered for the entire 2014.
Joseph Wolf: And can you just -- how many customers are you shipping to in the LTE handset market right now?
Gideon Wertheizer: Four, four that are shipping in volume, today yes.
Joseph Wolf: Four are shipping in volume. Perfect, thank you. And then I guess just on the gross margin, obviously we're seeing some leverage in your guidance towards the -- back towards over the 91% mark. How should we be thinking about that with the mix of licensing and royalties as we look forward into the second half?
Gideon Wertheizer: I think we already know in the first couple quarter we were in the 40ish percent to royalties and 60ish percent licensing. I think because the royalties are kicking in, in higher gear this in the second half we’re probably going to see it closer to half-half and we’ll take it one step at a time to see how that progresses into 2016. Of course the more royalty revenue the higher the mix in gross margins but anywhere around the 91, 92 I think this is very number that we’re very comfortable with.
Operator: Our next question is from Matt Ramsay of Canaccord Genuity. Please go ahead.
Matt Ramsay: I guess a couple of questions from me. Obviously the Samsung Galaxy data coming into the model with their change in baseband for their high-end phones is going to be affecting the model for the back half in a big positive way. Maybe, Gideon, you could talk about the trajectory of that business given the relatively disappointing guidance that Samsung gave last night versus how it's affecting your business in a very positive way. And then second, I think from my perspective, so the work at Spreadtrum and the work at Samsung are very obvious and public that maybe you could speak a little bit to some of the momentum that you guys are seeing from Leadcore and other customers in the LTE market. Thank you.
Gideon Wertheizer: So since you ask about specifically LTE we are basically in all the peers there, as I mentioned Samsung which is a premium model. We are at the mid low end that’s a very active and dynamic area as we see today growing very fast mainly in China where people are replacing the 3G on the high end, it’s almost done but in the low mid-tier there is -- it's an untapped area and that’s one area, this one elements of it. We are seeing tablets with LTE connection coming in. We see also by the way 3G there but we see tablet. So basically we are in presence in all the different LTE tiers today.
Yaniv Arieli: And in top of that I would add that Samsung is signing and introducing few different other model layer this year. This year starting from next month more or less and that could be the Note 5 that could be some other model that we’ll be also designed in. So we’re not counting only in one socket as Richard -- as Gideon just explained but multiple sockets both within Samsung and within Xiaomi tablets and many others. And it’s a market share story for us and I think we’re not building our business model in growth in LTE on a specific socket or in a specific success of one design and the other but more the trend across the industry.
Matt Ramsay : And just a follow-up on the baseband side; obviously the 2G units are down which I view as actually a positive trend moving the business into higher ASP royalty units. If you could talk a little bit about the dynamics in the 3G business in particular with one of your large customers launching a WCDMA solution for the first time for the global market.
Gideon Wertheizer: In 2G you are right the market is declining and that’s a positive move from our standpoint. Bear in mind that there are still significant amount of holders of 2G feature phone I think in my prepared remarks I put about 58% still out of the 7 billion connections are still holding 2G and this is the potential for us to grow when those people are moving to smartphones. Now when it comes to 3G what we see today good dynamics in India. The 3G phone is growing there are relatively are pretty much [Technical Difficulty] of the processing power that they offer. Spreadtrum has a quadcore offering there. That’s where we see a good demand and goal. Another area for 3G which I mentioned in my previous question is tablet. Rockchip and Intel are progressing very nicely. On the 3G tablets and we have other customers getting there from the smartphone going to the tablets. By the way in emerging markets today our tablet for emerging market most of them are cellular connected. And this is how the landscape is changing for Chinese companies like Rockchip or Spreadtrum or MediaTek are getting share there.
Matt Ramsay: And just one last one to sneak in for Yaniv, maybe you could talk a little bit about OpEx trajectory going forward given the integration now of RiveraWaves and how you see that trending into next year? Thank you very much guys.
Yaniv Arieli: Sure, so I think we've been able to demonstrate over the last three years or three quarters or so they were somewhere around the $10.9 million non-GAAP OpEx per quarter. And at least for Q3 I guided about $100,000 lower than that the mid range and I think somewhere around that neighbourhood is something that we are very comfortable with and at least for this year see it a very reasonable and we'll aim to maintain these types of level. Next year I will leave it the quarter or two from now to look into next year and see what other ideas and the investments we want to invest in and what are the opportunities for us. But I think we are very comfortable and have been for a while in this type of expense level.
Operator: Our next question is from Gary Mobley of Benchmark. Please go ahead.
Gary Mobley : Congratulations on the solid result and solid execution. So nice to see that you guys seemingly are taking back some market share or at least your licensees are. Focusing specifically on the licensing revenue, obviously you're implying that Q3 license revenue will be around $8 million and that if I'm not mistaken is at the upper end of your long-term quarterly license guidance range. And my question really relates to sustainability of that momentum; would you expect it to maintain at that level in Q4 and sort of what is your new benchmark for quarterly license revenue?
Gideon Wertheizer: So in licensing it's a good environment you're right that in the last four or five quarters we are exceeding our high end of our guidance model which is at the high end $7.5 million per quarter. Whether it's sustainable as you know licensing is a lumpy business it could go up and down in specific quarter but in general the licensing environment is very strong you can see it from the number you can see it for the number of these. We are able to conclude every quarter.
Yaniv Arieli: By the way he way we build it is that we use this average in the mid range of the guidance that you referred to as the base. And whatever things pop up and what we see a different opportunity will remain in specific quarter of course we guide either higher or lower and have been higher recently like the guidance now for Q3. But I would keep you for in the normal range of -- we are comfortable with and if things involve we will give more color that we could be either be higher like we're referring to specifically about Q3 or take it one step at a time and see what deals could go through and hopefully be on the better side of the guidance.
Gary Mobley : I guess for the sake of formality, your prior royalty revenue growth guidance range for all of 2015 was previously 10% to 30%. Should we now think about that range tightened up to 20% to 30% growth and as it relates to non-baseband royalty contribution, how should we think about that growth trajectory as we transition to the second half of the year?
Gideon Wertheizer: See Q4 which is Q3 shipment is our stronger cost quarter from seasonal standpoint. It is post pre-Christmas usually the Q4 royalty is the highest from our standpoint and we believe that this year will be the same. I mean the pace of it is yet of known they are goods high if you take a few people mentioned Samsung Galaxy 6 and they post their results yesterday. And they said that one of the reason that they want to fix now is putting mobile forward and on S6 Edge which is they see high demand for this one and they were unable to supply what people wanted they are going to come out even earlier in August with Note 5 and 6 Mini. One thing we believe in China the momentum will continue to be very good demand, so although as we believe Q4 will be sequentially higher how much is it we'll have to see.
Gary Mobley: Okay. How would you -- well, can you share with us how RiveraWaves is performing relative to your expectations when you consummated that transaction?
Gideon Wertheizer: They exceed our expectations there is -- people are speaking about IoT, it's not just talking, there is a demand, lot of companies coming trying to build IoT devices, whether it's a Wi-Fi, whether it's a Bluetooth, low energy stuff. And RiveraWaves is the incumbent, I mean they are the leader in this space, I mean people are not questioning their technology competency. So there is a demand for Rivera in licensing. We start seeing shipment coming in royalty is coming from all the deals of Rivera. So things look very promising there.
Operator: Our next question is from Matt Robison of Wunderlich. Please go ahead.
Matt Robison : And I was wondering if you could give us a bit of a feeling for what you think the mix of TD LTE would be in your LTE shipments this year and maybe focus on the back half of the year, it would be better, but a little bit of flavor on that would be of interest. And also what's happening on the non-baseband volume aside from Bluetooth and you need just to confirm the sequential decline in gross margin, is that a function of licensing mix?
Gideon Wertheizer: Let's start with the last, I know last quarter Q2 that we just reported we have a bit more design activity and therefore move some R&D expenses, somewhere between close to 200ish million, $200,000 from R&D to cost of goods and that’s the reason for the lower OpEx. It's just a presentation, but the overall expenses are at the same level as before. So that’s the reason for -- it should continue also into next quarter or two because these were agreements and the design cycle view will take two to three quarters and then get back to normal, but again it's a small amount, but it does effect by 1% or 2%.
Matt Robison: So -- but your guidance for the current quarter is a bit higher. Is that because the mix offsets it a bit with such a strong royalty expectation?
Gideon Wertheizer: No just because of the simple revenues that are significantly higher than the prior quarter, the 15 to 16 will get you to 92% more or less margin and with those same expenses that I just referred to inside already included.
Yaniv Arieli: The question about TD LTE, I would say this first of all, all our key customers, Richard mentioned four currently shipping, all of them are shipping what is called five-mode. I mean have solution that is five-mode available for mass production. Whether today I think three-mode TD LTE is China mobile. We don’t know the extent to that granularity how many of the customers achieved China mobile are disabling the other two modes and stay with the three-mode. But in general the shipments, the desire for the chips in production are all five modes.
Matt Robison: And the non-baseband aside from Bluetooth?
Gideon Wertheizer: 30 million were Bluetooth devices so quite robust compared to previous quarters in prior years, those legacy is something we talked about a year ago and that’s declining for one quarter to the other eventually disappear and then the idea is that over the next whether it's couple of quarters or whether it's a couple of years depends on what product and what design wins that we have signed over the last couple of years, two years or so in the non-handset base will kick in. So I don’t think we’ll see a big change this year may be before something, but maybe beginning of next year. But for sure if our target is to reach 700 million to 900 million including Bluetooth, but it's not going to be only Bluetooth that will kick in as we go.
Matt Robison: Are you getting paid on those Bluetooth shipments yet?
Gideon Wertheizer: Of course, every single one.
Matt Robison: There is no comp for Rivera customers that are prepaid royalties?
Gideon Wertheizer: No if we reported in the 30 million devices that we get paid on and improve device, whether it's a fix end or percentage more or less around the same just so and lower than LTE rates of course, but still huge market opportunities in the tens of billions dollar overtime.
Operator: Our next question is from Suji Desilva of Topeka. Please go ahead.
Suji Desilva : Congratulations on the results and the guidance here. In terms of the China LTE market, can you talk about the pace of the mid-range upgrades there and any insight you have on the cause of near-term China Android smartphone weakness?
Gideon Wertheizer: We don’t have statistics about it the only thing that I can say that there is a strong demand of -- at the mid and low and I am saying is between $100 down to $48 of now and these are don’t misunderstand it these are very advanced phone I mean LTE it’s got four processor right now it’s still a 15 [indiscernible] call and they will go to 64 bit very soon so this is good phones.
Suji Desilva: And then in terms of the Bluetooth IP you have, can you differentiate how that’s positioned in the marketplace versus things like ARM and Cordio to understand if Rivera were more comprehensive in its offering for IoT and other areas? Thanks.
Gideon Wertheizer: There is a big difference between the Cordio and Cordio offering and the offering that Rivera have. Cordio is a one size fits all. It’s a solution based on our -- all TSMC 55 nanometer and that’s it if you want to go another founder or another process, it doesn’t fit. If you want to get an upgrade to 5.0 it’s not. The RiveraWaves is RF agnostic. We work with many other partners or customers so far are doing their own RF and their own process whether they integrate it on the big SOC like application processor or if they do a single chip IoT device I mean we are agnostic in this respect. That’s one thing. The other thing is we are more advanced in terms of looking into the next generation Bluetooth 5.0 we have customers for this already it is the second and the third one which is the more important is that we are offering what is called dual mode or people are using the smart ready. 70% of today Bluetooth’s market is dual mode where you have both data and voice audio supported. So all the headsets and all the smartphones is all fold in the dual mode and lot of offer this one, this is a much more complicated technology to do.
Operator: Our next question is from Jay Srivatsa of Chardan Capital. Please go ahead.
Jay Srivatsa : Yes, thanks for taking my question. Yaniv, on the guidance, would you give us some sense on how do you see the breakout between baseband and non-baseband especially with the royalties?
Yaniv Arieli: On the guidance for Q3?
Jay Srivatsa : Yes.
Yaniv Arieli: Sure I think that we were very comfortable at the 30 millionish non-baseband type the number they will probably continue to increase in next quarter but the bulk of the royalties and the dollar figures for sure is coming from the LTE this mix that we’ve been talking about of more than doubling sequentially the amount of LTE chips. The gaining market share from existing incumbent players in the industry which are hurting and suffering because of their offering and pricing in the market and our customers that are gaining the market share because of Gideon said they already have a working solution something that we’ve been waiting for the last two years for them to catch up. So for us the main theme, short theme in royalty growth is all about the handset we’re back to handsets business and on top of that but I’d say in the second gear, this is first gear. The second gear of growth will come from non-baseband with much, much higher type of numbers a year or a year and a half from now. But right now we could focus and put the magnifying glass on the handset. And with that said let’s take the 30 million and annual or 40 million and annualize that and you are already just shy of run rate of 200 million non-baseband. The majority for now is good.
Jay Srivatsa: Fair enough. Gideon, given what’s happening in China to sense some slowdown there and also part of the choppiness in the market, there is some concern that the disposable income of the individuals likely be crimped and as such could affect some -- as such could affect the sales of higher-end products. Are you concerned that LTE sales, given that they are higher ASP, will likely be soft as you look at the second half?
Gideon Wertheizer: It’s too early to say at this stage how we see it. From what we -- the trend that we see today, it looks like that in the pricing point today in LTE and the need from the consumer to have a better Internet experience. They say challenges that they face there whether it’s in the stock market or in general does not really imply at this stage. The value proposition that companies are coming now in China is very substantial and there is strong interest in China.
Jay Srivatsa : Okay. And then about India, majority is still 3G I presume. So what's your read on when the transition to 4G happens over there?
Gideon Wertheizer: For now we don’t see too much of LTE going there 3G is coming in a very fast space. Today there are only two companies that really confident to supply it's a very price demanding market the only companies that are paying in this field are Spreadtrum and MediaTek.
Operator: Our next question is from Anil Doradla of William Blair. Please go ahead.
Anil Doradla: The results look very much similar to what we saw with the whole TI and Nokia transition, so congrats on that. Long-term question, clearly as, Yaniv, you highlighted, the near term is handsets and a year or two is non-handsets. So if I take out Bluetooth for a second and we extrapolate whatever is going on with this strong licensing pipeline that you guys have been showing, what would you consider the top two, three applications would be probably two years from now?
Gideon Wertheizer: Anil it is Gideon let me take this question. First of all since you ask a long-term question and long-term for us is between now and 2018 Bluetooth is not just one of them Bluetooth is involving now but what we see is vision we have several I think 15 licenses which are 15 license that are designing us in vision. This is very lucrative space and we're expecting to see growing contribution from vision on sort of just the last quarter an example of DSLR cameras smartphones automotive lasers these are various that our vision gets into. We have Wi-Fi a lot of activities in other very lucrative space, small cells activities audio activities, audio means also audio and all sorts of cell phones and of course the Bluetooth area. Similar today is not as we used to back in 2011 that you mentioned kind of a one trip only one company that rely on the baseband market in the handset market. We have much boarder portfolio and we have much boarder customer base in the quarter. The second quarter results are a good example where you have 14 days of which 13 of them are not handset in market. So going to summarize your question we are expecting royalty revenues in the next few years coming from different directions. Not just Bluetooth or cellular.
Anil Doradla : And given that you talk about vision in all these different end-markets, when you look at those markets in general, the competitive dynamics, who would you in all likelihood bump across the most? Would you consider ARM as the biggest competitor in terms of those or would it typically be internal captive solutions at the customers?
Gideon Wertheizer: CEVA offering is completely different than what ARM is offering. We meet them in few occasion but we were not prop writing with them than complete our offering is more vertically integrated. We are operating platform we are not offering hardware and software ARM is offering the CPU and a consistent and then number one with CPU cannot do things in region all or Wi-Fi that you do in CPU. Number two people want one stop solution and not south you are paying twice for ARM and for other third party that provide this software. So in terms of competitive landscape because CEVA is so diversified in every segment we have a different competitor so we compete with imagination in Bluetooth and connectivity we compete cadence in audio and vision. We compete with other companies and Bluetooth it's in every market we have the difference but you know us when we do something we always want to be number one the clear leader and we are offering one high quality and full solution so.
Anil Doradla: No, very good. Now if you don't mind me squeezing in one final, you talked about the Chinese ecosystem, you talked about Spreadtrum, MediaTek and some of the stuff on Rockchip, but beyond internal Samsung solutions, can you share a little bit what's going on with Infineon? Clearly Infineon -- I mean Intel, sorry, clearly they seem to be making some inroads in China. You seem to be present there. Can you talk a little bit about how you look at that growth vector in China?
Gideon Wertheizer: In China it's very interesting marketing these days, not the one that is incumbent that you mentioned, Spreadtrum and also Intel is active there and of course MediaTek. But there are new comers getting into this market because they see not just the handset market, but other segment of the market machine-to-machine, tablet, Rockchip is there which is newcomer, even this quarter we license to a company that is associated with eventually a newcomer to this space. There are small midrange companies that are looking. So I think in general when you look on the cellular market, it's not just handset there are new such models, machine-to-machine and tablets that are evolving. And Chinese markets find room to get into this one. And in the handset space also one example is Leadcore it's a company that again take also significant in this market by specializing in one of the segment there.
Operator: This concludes our question-and-answer session. I would like to turn the conference back over to Mr. Kingston for any closing remarks.
Richard Kingston: Thank you, Emily and thank you everyone for joining us today and for your continued interest in CEVA and your support to the company. We will be attending the following upcoming conferences in August, the Oppenheimer 18th Annual Internet & Telecommunications Conference on August the 11th in Boston and Canaccord Genuity’s 35th Annual Growth Conference on August 12th also in Boston. Please visit the Investor Relations section of our Web site for more information and additional conferences and events that we will be attending. Thank you and good bye.
Operator: The conference is now concluded. Thank you for attending today’s presentation. You may now disconnect.